Operator: Good day, ladies and gentlemen. And welcome to the First Quarter 2019 NuStar Energy L.P. Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct the question-and-answer session and instructions will be given at that time [Operator Instructions]. As a reminder, this conference call maybe recorded. I would now like to introduce your host for today’s conference, Ms. Pam Schmidt, Vice President of Investor Relations. Ma’am you may begin.
Pam Schmidt: Good morning, and welcome to today’s call. On the call today are Brad Barron, NuStar Energy L.P.’s President and CEO and Tom Shoaf, Executive Vice President and CFO, along with other members of our management team. Before we get started we would like to remind you that during the course of this call, NuStar's management will make statements about our current views concerning the future performance of NuStar that are forward-looking statements. These statements are subject to the various risks, uncertainties and assumptions described in our filings with the Securities and Exchange Commission. Actual results may differ materially from those described in the forward-looking statements. During the course of this call, we will also refer to certain non-GAAP financial measures. These non-GAAP financial measures should not be considered as alternatives to GAAP measures. Reconciliations of certain of these non-GAAP financial measures to U.S. GAAP may be found in our earnings press release with additional reconciliations located on the Financials page of the Investors section of our website at nustarenergy.com. With that, I will turn the call over to Brad.
Brad Barron: Good morning. Thank you all for joining us today. In a few minutes, Tom will provide the details on our first quarter results and confirm that we’re on track with the annual guidance that we gave last quarter. Before we get into the specifics of our results and our outlook, I’d like to provide a little color on our business as a whole, how well we're positioned today and what we’re planning for the future. Since the beginning of this year, microeconomic factors most notably oil prices have improved, which is driving increasingly positive environment for our producer customers. We’re currently executing on a number of great high return projects with low multiples that build on our first asset class platform across the U. S. to provide the strong earnings going forward. Research project teams are executing with best-in-class safety performance, diligence spending oversight and smart project management on more projects in more places than ever before in our history. I’ve mentioned on past calls we also have more potential projects in our portfolio and actively developing projects to anticipate what our customers will need next so that we grow along with them. Large proportion of those projects with the projects we have in progress and the projects we have development or opportunities that are either inside the Midland Basin or we acquired our core Permian Crude System or outside the Midland Basin in Texas and even further field where the ripple effects from the basin’s tidal wave of WTI volume continues to generate high return projects that benefit NuStar. But it’s not all about the Permian. We’ve also identified the great projects across our legacy asset and increased our market share and capitalized on regional supply demand and trends. A favorite example of our success with innovative customer focused project development is our series of relatively small spend high return projects across our West Coast storage assets. They are creating bio fuel specific storage network for customers, which include the large bio fuel distributors in the world to meet the region's strict low carbon fuel standard requirements. That’s just one of the many examples. It's amazing how much has changed for NuStar since our call around this time last year. In spring 2018, we’ve simplified our structure and eliminated the IDRs, minimized our need to access the equity capital markets, maintain strong coverage, divested our European our European assets and attracted multiple and improved our debt metrics. On our call one year ago, we talked about the impressive growth of our Permian system and then one year anniversary of this acquisition, as well as our expectations for its growth trajectory. We are now celebrating the second anniversary of our acquisition of the Permian system, and the system performance continues to significantly surpass the basin as a whole. So happy to report that we continue to consistently grow our volumes quarter-over-quarter, year-over-year in the low 130s at the time of acquisition to over 380,000 barrels per day at the end of April, even with some historically inclement weather not to mention much storage long haul capacity constraints. Over the past year, we’re growing our system throughput by 194%, far outpacing overall Permian basin throughput growth of 78%. Our throughput has grown. We’ve also increased the capacity of our system to keep pace with that growth, 412,000 barrels per day at the time of acquisition to 560,000 barrels per day today, which is a 36% increase in capacity since our acquisition of the system. On our April 2018 call, we also previewed projects to take advantage of the burgeoning Permian driven Gulf Coast export growth at our world class Corpus Christi export and storage terminal. As we look back at what we’re anticipating for our Permian system a year ago, for the basin as a whole and for its potential benefit for Corpus, we feel pretty good because we definitely got it right. The is Permian indeed the place to be and is also the genesis of a lot of the dislocations that midstream companies need to solve in order to continue to grow. What we didn’t predict a year ago and frankly, I don’t think many experts have any anticipated, the full breadth and depth of the positive impact of the Permian Basin in North American shale overall will have on growth in midstream opportunities. One year later, the critical role that Corpus Christi will play in the Gulf Coast export story has become even more clear. By early 2020 approximately 2.1 million additional barrels of long haul crude capacity from the Permian to Corpus Christi will be placed into service, which will bring the total capacity of Permian crude to Port of Corpus Christi up to about 2.6 million barrels, and make the port the number one crude export outlet in the United States. Since this time last year, we announced we have signed a four year commitment with Trafigura to support the project to initially connect our South Texas system with the Cactus II Pipeline near Oakville to transport WTI barrels on our existing 16 inch pipeline to our Corpus Christi North Beach export terminal. And then to construct a new eight mile 30-inch pipeline from a new connection in Taft, Texas to our Corpus Christi terminal, as well as 600,000 barrels of additional storage. Those projects are underway and on schedule, and we expect to begin providing service to Trafigura as soon as this summer, which will make NuStar's dock facility the first facility in the quarter Corpus Christi the export WTI volumes that were transported to South Texas on one of the three new major Permian to Corpus to long haul projects. Beyond this project to Trafigura, we have a number of other projects that are in development, undergoing betting and in advanced stages of negotiation to build upon our Corpus, Taft, South Texas advantages. And aside from the Corpus Christi export growth, we’ve also seen substantial benefits of Permian growth on our South Texas Crude System and the Eagle Ford, which is again benefiting from WTI volumes arriving by truck. We’re currently seeing volume receipts around the 160,000 barrels per day, significantly above our minimum volume commitments of 116,000 barrels per day for that system. Recently, we also completed expansion of our Wichita Falls crude oil pipeline, about 300 miles to the Northeast of Midland to transport Permian barrels to local refiners from the Sunrise Pipeline expansion. In addition, we’ve completed a related expansion project on the same system in the Hewitt, and we'll begin delivering barrels to planes to move it into the Longview market to expect to produce a healthy return for a relatively small capital outlay. The ripple effects from increased production of Permian barrels, as well as from demand for volumes from other shale plays given us the opportunity to restart our unit train off-loading facilities at our St. James Louisiana terminal for customer commitments of at least 10 trains per month, bring WTI, Bakken and WCS barrels to the Gulf Coast. Beyond the unit train opportunities that we’re seeing in the near-term, our St. James facility is positioned to benefit in the longer-term from the impact of large scale shifts and crude loads from North American shale plays. As some of you likely know, pre-shale play revolution at St. James became a critical hub from importing crude oil to Spiral Refineries in the region and further inland across the Mid-Continental in United States. With the inbound capacity of 3 million barrels per day, regional storage capacity in excess of that of Cushing, Oklahoma, 3 million barrels of outbound pipeline capacity, 2.6 million barrels of regional refining capacity, St. James is truly the heart of the complex circulatory system of U.S. energy infrastructure, as the U.S. is shifting from a net importer to net exporter of crude, so too is St. James role shifting. The completion of Bayou Bridge which is bringing volumes of Bakken and Permian crude to St. James, marching an important first stage in that shift. In March, we began receiving volumes from Bayou Bridge into our facility to our recently completed connection to that line. Those Bayou Bridge volumes are destined for regional refineries, but also for export out of St. James. And we see another critical step in St. James' transformation into an export facility on the horizon. We anticipate a virtual cap line could bring significant volumes of Bakken, WTI and eventually WCS to St. James to using the regional refineries, as well as for export. Moving on from shale play to refined products, on our call last spring, we announced the first of our two projects to facilitate the export. Our refining products in Northern Mexico, Nuevo Laredo project for Valero scheduled for early service this summer and our second project the Valley pipeline project being in service later in the year. We’re excited to be able redeploy underutilized assets in South Texas to play an integral role and helping to the Mexico’s growing need for refined products. In addition to our Mexico projects, one year ago we talked about the synergies we expected from a small bolt-on acquisition from CHS of the Council Bluff assets, which we acquired to expand our market share on our central east system. Thanks to that strategy, we’ve successfully increased our capacity, enhanced our market reach and expanded our platform to retain blending on that legacy system. Looking back to what we told you last spring, I’m proud of the progress we’ve made. We’ve done a lot to improve our balance sheet and our financial metrics. And we've continued to plant seeds for future growth to our projects in the Permian and our projects to build on our legacy assets. Since we expect to begin to reap the benefits of our growth programs starting later this year and see associated EBITDA to continue to ramp up as we complete projects in 2020. While I’ve talked about a lot of things we’ve planned and executed, as well as things that we did anticipate there is one thing that we did not know year ago. On the call last spring, we expressed cautious optimism about the improved activity about the PDVSA at our St. Eustatius facility in early 2018. Circumstances have changed significantly since that time. The deterioration of Venezuela’s economy has accelerated. And then in January, the U.S. issued additional PDVSA specific sanctions, which required us to wind down our contracts with PDVSA by the end of February. Overtime, this become increasingly clear that St. Eustatius facility requires new business model to ensure its long-term success, and that NuStar’s best path forward is to sell the facility to a buyer s well positioned to take advantage of the changing global crude trade flow patterns. We’re pleased to announce that we have signed a definitive stock purchase agreement to sell the facility to Prostar Capital for approximately $250 million subject to adjustments. The sale will allow us to redeploy the sale proceeds to improve our financial metrics and to fund our growth projects for our core business here in North America. We're very gratified to be able to hand over of the range to purchasers with a business model that ensures a bright future facility and our employees there. We expect to close this transaction by the end of the second quarter, and we look forward to focusing all our resources and strengthen our financial metrics to generate stable consistent growth for our unit holders. Now, I'll turn it over to Tom.
Tom Shoaf: Thanks Brad and good morning everyone. Before I get into the details about our quarterly results, I'd like to first provide a little more context around the financial impact of our decision to sell our St. Eustatius facility. In connection with the agreement to sell our St. Eustatius operations to Prostar, our first quarter results include non-cash impairment charges totaling $328 million related to our St. Eustatius operations. It's important to note that the aggregate amount of the impairment charges is not included in either adjusted EBITDA or DCF. As Brad mentioned earlier, we achieved strong consistent results for the first quarter of 2019, and we are maintaining our adjusted EBITDA guidance for the full-year at $665 million to $715 million. However, before I turn to our results, segment performance and projections, I will first touch on a few items of note in each of the first quarter of 2019 and the comparable period in 2018. In order to aid in the quarter-over-quarter comparison, we have adjusted our reported results for these items to ensure that we are looking at things apples-to-apples. First, our first quarter 2019 EBITDA, net income EPUs include the $328 million non-cash impairment charges related to St. Eustatius that I just described. Second, you may recall that our first quarter 2018 EBITDA, net income and EPU included a gain of $79 million from the receipt of hurricane related insurance proceeds related to the damage sustained at that terminal. In the earnings press release, we included a table showing first quarter 2019 and 2018 EBITDA net income EPU, as adjusted to eliminate both the impairment charges and the insurance gains, so that quarter-to-quarter results are comparable. Today, I will be referring to those adjusted numbers. In first quarter 2019, we generated adjusted EBITDA of $171 million consistent with the first quarter of 2018 adjusted EBITDA. Adjusted net income for the first quarter of 2019 was $51 million, up $4 million over adjusted net income of $47 million in the first quarter 2018. First quarter 2019 adjusted earnings per unit was $0.14 compared to adjusted EPU of $0.33 for the first quarter of 2018 mainly due to additional outstanding units, including $13.4 million units issued in connection with our simplification transaction that merged NuStar GP Holdings and NuStar Energy in the third quarter of last year, as well as increased preferred unit distributions. First quarter 2019 DCF available to common limited partners was $95 million, up $3 million from the first quarter of 2018. And our distribution coverage ratio for the common limited partners was approximately 1.47 times. First quarter 2019 EBITDA n our pipeline segment was $108 million, up $14 million or 15% from the first quarter of 2018 due to continued throughput volume ramp on our Permian Crude System, increased quarterly volume receipts of 168,000 barrels per day on our South Texas crude oil pipeline system and increased volumes on our east pipeline systems, driven by our CHS, Council Bluffs, Iowa acquisition in the second quarter of last year. These were partially offset by lower throughputs on our McKee system due to operational issues at one of our customers' refineries. First quarter 2019 adjusted EBITDA in our storage segment was $82 million down $8 million compared to the first quarter 2018 EBITDA of $90 million due mainly to the sale of our European assets in the fourth quarter of last year and the impact of decreased storage rates at certain East Coast and Gulf Coast locations due to re-contracting in the midst of last year's backwardated market conditions. Offsetting these quarter-over-quarter declines were increased storage dock and dock fees at our Corpus Christi North Beach terminal as a result of the increased volumes we experienced on our South Texas crude oil pipeline system. Additionally, first quarter 2019 storage revenues include the acceleration of approximately $16 million related to non-refundable settlement proceeds received last year as part of our contract restructuring with PDVSA. We intended to recognize those proceeds month-by-month to offset storage charges owed by PDVSA through mid-September. However, because of the U.S. sanctions imposed on PDVSA required us to wind down our contracts by the end of February. We were also required to recognize the remaining balance of PDVSA settlement payment at that time. First quarter 2019 adjusted EBITDA in our fuels marketing segment was $6 million, consistent with our first quarter 2018 EBITDA. Our March 31st debt balance was $3.3 billion, our debt to EBITDA ratio was 4.1 times, significantly below our credit agreement covenant threshold of 5 times. Now let me spend a few minutes talking about our projections for full year 2019. The following 2019 projections do not include the pending sale of our St. Eustatius operations. However, as we said, we expect the pending sale to positively impact our key financial metrics, including adjusted EBITDA, reliability capital, DCF, coverage ratio and debt to EBITDA. As I said earlier, we expect NuStar's 2019 adjusted EBITDA, which includes the effect of the non-cash impairment charges to be in the range of $665 million to $715 million. With regard to 2019 capital spending estimates, we continue to expect $500 million to $550 million of spending for strategic and other capital in 2019 with spending of approximately $185 million on Permian crude system, $150 million for the Northern Mexico refined products supply projects and about $100 million for our Corpus Christi North Beach terminal export project. Regarding our reliability capital spending for 2019, we continue to expect to spend $70 million to $90 million, which includes about $30 million of hurricane repairs that will be paid with insurance proceeds and $11 million to complete work on our ammonia system replacement project. Based on these projections, we continue to expect our common unit distribution coverage ratio in 2019 to be in a range of 1.2 times to 1.3 times. And with that I'll turn the call back over to Brad for his closing remarks.
Brad Barron: Thank you, Tom. We've come a long way since last spring, and we're excited about continuing to execute on our projects and our plans to achieve long-term stable growth for our unitholders. While no midstream company like to sell assets, decisions we've made on our St. Eustatius facility will allow NuStar to deploy our capital in North America, generate the strongest returns for our investors and continue to lower our leverage and strengthen our balance sheet. We’re excited about the abundance of higher return organic growth projects that we have in development and in progress. And we’re already looking forward to our call next spring, spring of next year. But I’m confident that we will be reporting once again on our successful execution of the opportunities we talked about today, as well as the opportunities we hope to be able to announce in the near future as those comes to fruition. Thanks for listening in today, and I’ll open up the call for Q&A.
Operator: Thank you [Operator Instructions]. And our first question comes from Theresa Chen from Barclays. Your line is open.
Theresa Chen: First, I wanted to ask about the economics related to the St. Eustatius sales. Do you have an idea of what the current EBITDA annualized run rate is and what it would be on a normalized long-term basis looking through the cycles?
A - Tom Shoaf: Well, as far as the EBITDA goes, I mean we’d already adjusted out the effects of having to wind down the PDVSA contract and those types of things, the acceleration of those revenues into the first quarter. And so what we’ve been saying on this so far is that we put the guidance out there. We’ve reiterated the EBITDA guidance. We don’t expect this sale to be upside the range that we put out there for our EBITDA.
Theresa Chen: Maybe I can ask it different way. What was or is the expected multiple on the sale?
Tom Shoaf: Well, I can tell you it’s a very attractive multiple for us. We’re pleased with the multiples.
Theresa Chen: In relation to the acceleration of revenues for the PDVSA wind down. Tom, how much was that exactly that impacted Q1?
Tom Shoaf: It was approximately $16 million that we accelerated into the first quarter.
Theresa Chen: And then turning to your Permian system, understand that volumes exited that $380 million in April. What was the average throughput in first quarter?
Tom Shoaf: $349 million right at $350 million.
Theresa Chen: And what’s your expectation for exit of port this year?
Tom Shoaf: $450 million.
Operator: Thank you. Our next question comes from Shneur Gershuni from UBS. Your line is open.
Shneur Gershuni: You say it was a very attractive multiple on sale. I mean, there is a big announcement earlier today, which I’m sure you saw. When you think about it on a 2020 basis, do you feel that you sold the asset in line with other transactions that were out there?
Brad Barron: What I can tell you is it's an attractive and what we believe that as attracted multiples in line with what we were expecting to get from the asset. So the benefits of the transaction are many. And this allows us to continue to de-lever and continue to reinvest into really great high return low multiple projects in the Permian and elsewhere in North America.
Shneur Gershuni: And just following up actually on those comments. Does this address the credit rating issues with the agencies? Do you get upgraded to stable outlook? And are you able to do the refinancing that you’ve been talking about in the past?
Brad Barron: Well, based on our conversations with the rating agencies, I think they've already at least our conversations with them they've already taken whatever action they expect to take probably through 2019. And so I wouldn’t expect any movements by the agencies this year. But certainly we've been working very closely with them over the last year. They have viewed everything we have done and our projections are very positively, that was what they told us. And so they're looking forward to 2020 and beyond when Permian ramps-up, these projects come on and all of that. So we'll just have to wait and see what ends up happening with each one of them, but we have gotten positive responses from them.
Shneur Gershuni: And in terms of any refinancing, does this clears the deck for you to be able to move forward?
Tom Shoaf: Yes, it does. I mean I think that we've talked about a pending bond issue that we'd like to get done this year. And I think we still have plans to do that and we plan to term up some of our revolver with the bond issuance. And so, yes, I think that that paves the way.
Operator: Thank you. Our next question comes from Jeremy Tonet from JPMorgan. Your line is open.
Jeremy Tonet: Just want to follow-up with St. Eustatius sales a bit here. I was curious how the process went here. Was this an open auction or was it just they approached you? Any color on that. And then also I was just curious how much this reduces your OpEx or your fixed costs by just thinking about and business going forward?
Brad Barron: In terms of the sale process, it wasn’t an open auction. We had discussions with Prostar for quite a while and we were able to come to turns just recently. So like I said it was an attractive multiple for NuStar. So what was the second part of your question?
Jeremy Tonet: Financial impact on OpEx and those type of things…
Tom Shoaf: Like we said, I think this is absolutely -- it's going to be positive for us in terms of all of our key metrics and including OpEx and everything, and we will pull out. It's adjusted EBITDA positive, its DCF positive, key metrics positive. So this one of the things we've -- it's been part of our strategy to look at less core assets in our portfolio and have asset sales to help us de-lever. So this helps us move towards that goal.
Jeremy Tonet: And just noted the language that you said it was object to adjustment, I think, it said in the PR. Is there anything outstanding with Venezuela, or is that just a customary language there. Just trying to see if those payments everything…
Brad Barron: It's customary language…
Jeremy Tonet: And then IMO 2020, I was just wondering if you guys could provide any color on. Is this starting to seep into customer conversations, are you seeing any incremental demand on that side?
Brad Barron: No, we're not seen anything yet. There's still no compelling contango in the market out there that we see nobody is come inquiring for additional storage yet. We are well suited to benefit from that if and when that does occur.
Jeremy Tonet: And just as far as portfolio optimization. Should we expect any other asset sales here, or are you guys happy with where things strand?
Brad Barron: We're happy with where things stand.
Operator: Our next question comes from Ryan Levine from Citi.
Ryan Levine: I just want to follow up on your comment that this transaction EBITDA positive. Is that to -- should we be assuming that pro forma for the pull forward of the PDVSA impact to Q1 that EBITDA expectations in your guidance for St. Eustatius was negative for the remaining portion of the year?
Tom Shoaf: Yes, you can assume that.
Ryan Levine: And then the other question is could you speak to if there's any tax leakage or any benefits associated with this transaction given the jurisdiction?
Tom Shoaf: There is no tax leakage or anything like that.
Operator: Thank you. Our next question comes from Dennis Coleman from Bank of America Merrill Lynch. Your line is open.
Dennis Coleman: Sorry to keep beating on this EBITDA issue. But we had some tailing impact, positive impact from the PDVSA payment into the middle of this year, or I guess into the third quarter. And so, you've accelerated that. So in some way, that would be -- it seem to be a negative impact on EBITDA, and so I just want to make sure I'm understanding exactly what you're signaling here. You're reiterating your guidance. There won't be any adjusted guidance for the impact of the sale, if I'm hearing it right. But should we think then about EBITDA coming in toward the high-end of the range, because of this positive impact that you're talking about?
Tom Shoaf: I think that'd be a little aggressive at this point, we're not -- like I said, we're just reiterating the range that we have out there. We think the EBITDA range is good and that's where we are at. So whether or not we come in at the midpoint, or higher or lower, we're not really ready. It's early in the year to predict all that right now. But I can tell you that we feel very comfortable with the range right now as it is.
Dennis Coleman: So we shouldn't expect any adjustment to the range to pro forma for this?
Tom Shoaf: Not at this time.
Dennis Coleman: Maybe just one operational with regard to the St. James opportunity, maybe just a little more detail. I think in the past it was five to 10 unit trains now I think you're saying firm 10 unit trains. You're talking about taking volumes off Bayou Bridge. Maybe if you can be -- is there upside to the unit train count? Is there -- how much volume are you getting off Bayou Bridge? Is there the possibility of expanding facilities there to take more? Just trying to scope with the upside is here?
Danny Oliver: This is Danny Oliver. So we are receiving steady volumes off Bayou Bridge. We have no minimum volume commitments on that, but we do expect to continue to receive a steady diet from Bayou Bridge, that certainly strengthens the storage market there. And we have room to expand at St. James if the demand dictates. As far as the unit trains go, we did take out the five to 10 and put in 10, because the full 10 is covered by minimum commitments, but there's upside to that number, significant upside to that number.
Operator: Thank you [Operator Instructions]. And our next question comes from Sunil Sibal from Seaport Global Securities. Your line is open.
Sunil Sibal: Couple of questions from me, I think your leverage at the end of the quarter, you mentioned that I just missed that. Could you repeat that? And also what’s the leverage pro forma for this sale?
Tom Shoaf: I think we said it was 4.1 at the end of the quarter. I think we’re just reiterating the guidance we gave before for the debt leverage at this time. Upon closing of the transaction, we’ll take another look at that and see if we can adjust that.
Sunil Sibal: And I think you mentioned on the proceeds $250 million adjusted or with some adjustments. Any major adjustments we should think about between now and closing of the transaction? Or what could go in that bucket, I am just trying to understand that.
Tom Shoaf: Well, I mean it’s a sale of an asset. I mean what we’re talking about is with adjustments that are customary for that type of a disposition. So, that’s probably most of it. And I don’t know if there is anything major that we want to point out in that...
Brad Barron: They're all customary...
Sunil Sibal: And then just moving on to your St. James position. Could you remind us how much acre or land do you have there? And what’s the opportunity set for you in terms of even expanding your storage there?
Tom Shoaf: I couldn’t tell you exactly how many acres it is, but we have significant room for expansion.
Sunil Sibal: And where are you in terms of the current storage there, how many million barrels?
Tom Shoaf: About 11 million barrels it’s fully leased out…
Sunil Sibal: And what are the terms on those lease in terms of expiry?
Tom Shoaf: Well, there is a bunch of different contracts but most of them were in the one to three year range. I just get handed some information. We have 900 acres there at St. James. So there is a lot of room for expansion.
Operator: Thank you. Our next question comes from Selman Akyol from Stifel. Your line is open.
Selman Akyol: I just want to clarify on your growth capital you said that was $500 million to $550 million. Did I get that correctly?
Tom Shoaf: That’s right. 
Selman Akyol: And I guess on the -- you’re listing there projects takes you to $435 million, if I heard that correctly between the three. So can you just talk about what maybe in the remaining $65 million to $115 million?
Tom Shoaf: There is probably 20 other projects. We have just a steady diet of small projects around our legacy system. Some of those are in the West Coast, Brad talked about those. There's a handful of projects there that are relatively small. We were trying to hit the big items. I mean we’ve got about $24 million of West Coast spend that we didn’t lift but other than -- like Danny said, other than that it’s just smaller items.
Selman Akyol: And then when I think about the smaller projects as being higher multiples compared to your average?
Tom Shoaf: They tend to be, but we’ve got some pretty low multiples on some of the big projects that we mentioned as well.
Selman Akyol: And then as we think St. Eustatius, I mean I think we could all agree that was a challenged asset and so the outlook. Was there anything in the CapEx now that could be you were thinking of repurposing assets there that capital avoidance we should be thinking about?
Tom Shoaf: No, as we said, we're using the proceeds to down debt and to help fund our capital program that we -- that already exists. So it just going to help our metrics is what the key component there.
Operator: Thank you. Our next question comes from Michael Blum from Wells Fargo. Your line is open.
Michael Blum: Just I guess two questions on St. Eustatius. One is, excluding PDVSA, can you talk about what the utilization of the facility has been? That’s number one. And then number two, I guess related to that. Can you talk about maybe what peaks EBITDA has been historically for that asset? Thank you.
Brad Barron: Well, let me discuss utilization first. So outside of the PDVSA tanks that we got back, the terminal is fully leased. So at their peak they leased out about two thirds of the terminal, the other third was and is four. And I'll let Tom take the other part of that question.
Tom Shoaf: Well, I don’t know if we'd really want to comment on what peak performance was with the terminal. It's been out of peak for some time now and given all the challenges that we've experienced over the last few years…
Brad Barron: What I would add to that is I think there is a lot of questions about multiples and this happened when we sold Europe. There is a much of different ways to look at multiples. You're probably trying to dial into, okay, what was peak EBITDA multiple, what’s the forward-look, what's the current look, what's last year. What I want to reiterate is that we are very pleased with multiple and sales. And what this allows us to do is to de-lever, I can say that we would and allows us to reinvest in some of our really high return projects in North America. So that's the takeaway from there.
Operator: Thank you. And I am showing no further questions from our phone lines. I'd now like to turn the conference back over to Pam Schmidt for any closing remarks.
Pam Schmidt: Thank you, Krystal. We would once again like to thank everyone for joining us on the call today. If anyone has any additional questions, please feel free to contact NuStar Investor Relations. Thanks again, and have a great day.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program and you may all disconnect. Everyone, have a wonderful day.